Operator: Good morning, and welcome, everyone, to FEMSA Second Quarter 2013 Earnings Results Conference Call. Today's conference is being recorded. [Operator Instructions] During this conference call, management may discuss certain forward-looking statements concerning FEMSA's future performance and should be considered as good faith estimates made by the company. These forward-looking statements reflect management expectations and are based upon current available data. Actual results are subject to future events and uncertainties, which can materially impact the company's actual performance. At this time, I will now turn the conference over to Javier Astaburuaga, FEMSA's CFO. Please go ahead, sir.
Javier Gerardo Astaburuaga Sanjinés: Thank you. Thank you, and good morning, everyone. Welcome to FEMSA's Second Quarter 2013 Results Earnings Conference Call. Juan Fonseca and José Castro are with us today as well. As is customary on our calls, today we will focus on the consolidated figures for FEMSA, and on FEMSA Comercio's results, since many of you probably had the opportunity to participate in Coca-Cola FEMSA's conference call yesterday. As you have also, no doubt, seen our detailed results, we will use this opportunity to share some of what we see as highlights and main trends in our business. Let me start by making some comments on the macroeconomic environment in our key Mexico market. The year began with very upbeat expectations driven by optimism regarding the new administration and its objective, to implement much-needed structural reforms and an improving picture from manufacturing and general economic activity. As the months have passed in anticipation of such broad and deep policy changes, what we have seen is some degrees of uncertainty and cautiousness taking hold of businesses and investors and trickling down to consumers, resulting in much lower GDP growth than originally expected for the year, and particularly for this start of the year. Consumer demand has been weak and there are a number of reasons, which you have probably heard before, that have put some pressure on consumers. These reasons we think start with the tough comparison versus a pre-electoral period that saw high levels of spendings of last year. That complete low levels of government spending relative to comparable periods, this in light of the first 6 months of a change in the ruling party in Mexico. Thirdly, lower levels of construction activity as a response to the high uncertainties surrounding that industry, particularly relating to housing development. And among many other things, phenomenal sorts [ph] as lower remittances from Mexican workers in the U.S.. On the bright side, the comparable base for the second half should be easier without last year's election-related noise and public spending and investment levels expected to pick up gradually, particularly in infrastructure projects driving economic activity in general and construction in particular. However, the timing and pace of this improvement is still hard to predict. We are optimistic that the reforms will come and more importantly, that they will make a difference on the long-term growth perspective of the country, and then confidence and growth will eventually improve on the bullish scenario will materialize for Mexico in the medium to long term. But in the meantime, our plans and strategies for the year are having to be adjusted, as we speak, to account for a much more sluggish economic reality than we expect. Against such a challenging backdrop, our performance in Mexico has been resilient. At Coca-Cola FEMSA, it was Mexico that provided the positive momentum on the back of improved profitability, driven by strong execution on a favorable raw material environment. However, performance in South America remain soft, particularly in Brazil where volumes contracted and were compounded by the lingering impact of foreign exchange weakness across the division. The consumer in Brazil continues to be cautious as a response to lower economic growth, higher inflation and growing unemployment. While this is a concern for the short term, we remain optimistic about the medium- and long-term prospects of the Brazilian consumer and economy, as demonstrated by our willingness to invest in our operations both through capital projects like the new plant we're building in Minas Gerais and through acquisitions like the recently announced Fluminense transaction. For its part, FEMSA Comercio's quarterly results reflect tough comparisons, the same soft consumer environment in Mexico I described and some continued pressure from the telephony category, as described last quarter. All of which impacted our same-store sales growth. However, once we remove the calendar noise from the timing of Holy Week, we have results from our first semester that are just slightly lower than what we have planned for this year, but not by much. So considering the challenging environment, this is encouraging. I will elaborate more on Comercio's numbers in a bit, but first let me touch briefly on our consolidated results. For the second quarter, total revenues increased 4% and income from operations grew 9%. On an organic basis, excluding the integration of the beverage operations of Grupo Yoli and one month of Grupo FOQUE, the figures are similar: Revenues up 3% and income 8%. For the second quarter, the line label participation in Heineken results represents FEMSA's 20% participation in Heineken's first quarter net income, which was reported last April using the average exchange rate for the euro during the second quarter. Net income decreased 6.6%, reflecting a higher interest expense related to recent bonds issued at FEMSA and Coca-Cola FEMSA, as well as a swing from a foreign exchange gain in second quarter 2012 to a foreign exchange loss in second quarter 2013, driven by the effect of Coca-Cola FEMSA's U.S. dollar-denominated debt position, as impacted by the quarterly depreciation of the Mexican peso. In terms of our cash position, during the second quarter, we went from having a consolidated net debt position of MXN 6 billion at the end of March to a net debt position of almost MXN 10 billion at the end of June, reflecting dividend payments carried out during the month of May at both FEMSA and Coca-Cola FEMSA. Moving on to discuss our operations and beginning with FEMSA Comercio. We opened 279 net new stores during the second quarter. This number is slightly lower than the comparable figure for 2012, but only slightly. And if we look at the first half of the year, we're running a bit short of the comparable number as well. However, the run rate for the last 12 months is 1,026 stores, which is exactly the same run rate we have at this point last year. So our confidence is very high that we will again surpass the objective of 1,000 net new stores for the year. On a related note, our store number 11,000 was opened a few days ago in the state of Baja, California. And we want to take this opportunity to congratulate our colleagues at FEMSA Comercio for reaching this landmark. Revenues increased 12% during the quarter, and same-store sales were up 1%. When we break the number down, we see that the increase was driven by our average ticket, while traffic remained flat. These figures are below recent trends, so we have to spend some time analyzing data trying to understand what the drivers are. A number of things going on. First, we have the general consumer weakness we discussed a few minutes ago to which we are not immune. While we have recently managed to outperform the growth of our industry in that of other retail benchmarks, and there are reasons and different reasons why consumer enter our stores and purchase our products as opposed to other retail formats, there is no question that our consumers have adjusted their behavior in response to macro pressures like those we described. Second, we have to consider the calendar effect related to the timing of Holy Week, which took place late in the first quarter this year, as opposed to early in the second quarter of 2012, contributed to a very tough comparison for the month of April of this year. As I've said a minute ago, we will look at the first 6 months of the year, the numbers are normalized and same-store sales grew just under 3% to the end of June. Finally, we saw some contraction in several categories. The most notable was prepaid wireless airtime revenues. Whereas we discussed last quarter, we continue to see declining trends driven by a significant reduction in the price per minutes for the end-user, combined with the migration of some consumers to postpaid plans, as well as the consumer now having more alternative outlets where he or she can top up the cell phone. So there were other categories as well for a variety of reasons we saw declines in the quarter. For the quarter, gross margin expanded 10 basis points and operating margin contracted 30, as operating expenses grew above revenues, reflecting incremental expenses related among other things to the development of specialized distribution routes aimed at enabling our prepared full initiatives. Having said all that, it is important to mention that we do not see in all the data to our disposal any signs that could point to structural changes that might affect our operations negatively in the medium or long term. On the contrary, we see consumers continue to privilege proximity, when these proximities does not imply large price premium. We continue to improve our own ability to satisfy consumer needs better. And we continue to see ample white spaces still to grow our store base for an extended period of time without compromising productivity. As for the rest of this year, regarding the growth in same-store sales and the behavior of the operating margin, as I've said, we are currently running a bit behind our medium-term expectations. And we would require a strong second half in order to significantly improve full year results. As you know, we managed our company for the long term, and we do not make major adjustments to the strategy based on short-term dynamics. So while we are making certain tweaks to some known critical problems for the second half, and we are moderately optimistic for the remainder of 2013, it is possible that our full year number will come in below trend. This does not alter our sentiment beyond 2013. Moving on briefly to Coca-Cola FEMSA. Total revenues remain stable and organically, they decreased 2%, as mid-single digit revenue growth in our Mexico and Central America division did not fully offset a mid-single digit decrease in our South American division. This decrease largely reflects the negative translation effect from the devaluation of several local currencies, as well as the volume decline in Brazil. Coca-Cola FEMSA operating income increased 9% and organically, 8%, driven by Mexico on the back of improved profitability, reflecting lower sugar prices combined with the appreciation of the Mexican peso, as applied to our U.S. dollar-denominated raw material costs. If you're unable to participate in Coca-Cola FEMSA's conference call yesterday, you can access a replay of the webcast, as always, for additional details on the results. And on the strategic front, during the quarter FEMSA Comercio, as you know, closed its 2 recent acquisitions in the pharmacy businesses in Mexico, YZA and Moderna. And as you know, Coca-Cola FEMSA announced an agreement to acquire Companhia Fluminense in Brazil. This bottling franchise represent an Important link between Coca-Cola FEMSA's Sao Paulo and Mina Gerais territories, setting the stage for important synergies to be captured from the geographic continuity of our territories under a configured supply chain of the combined operations. Also, it is consistent with our bullish view of Brazil as a territory with great long-term potential, in spite of the short-term issues it faces today. So finally, that we grab off by reminding you that even if current macro conditions are not what we expected, we believe these are not structural. The medium- and long-term expectations for all our corporations are no different today from what they were 6 months ago. And that is why we're investing accordingly, adding capacity, making acquisitions, opening hundreds of stores. Our business has continued to strengthen, and we will continue to execute our strategy and we'll keep investing to improve and expand our competitive position across our operations. And with that, now, I think we can open the call for your questions. Operator, please.
Operator: [Operator Instructions] And we will start with Lauren Torres with HSBC.
Lauren Torres - HSBC, Research Division: My question is related to your Comercio business. First question on traffic and second question on margins. We did see negative store traffic again this quarter, not as much of a decline as we saw on the first quarter. I appreciate your comments about the consumer environment, but I was curious if there's any guidance or comments you could put towards, giving us an indication that this will actually get positive in the second half? And the question on margins, similarly, is that we saw margins decline coming off of an increase of margins in the first quarter. I was hoping you could talk a little bit about some of these expenses that caused margins to go done and if we should anticipate continued margin decline in the second half.
Javier Gerardo Astaburuaga Sanjinés: Sure, Lauren. On the first one, as I said, the results for the second quarter were, to say the least, different from what we expected from the overall economic environment. And I don't think we are the exception in terms of looking at the consumer which is, I would say, suffering some of the effects of the deceleration of the Mexican economy and some of the phenomenas I described. So going into the second half of the year again, all we have so far is, again, a belief that there is not a structural change in the behavior of consumers that deal with the way they satisfy their needs among different retailers. But again, this overall number of effects on the general economy makes it very, very hard for us, really, to say if traffic is going to pick up in the second half of the year. As you just mention, traffic for the quarter now was pretty much stable, I mean, just 0.1% down. So that's basically stable for us. But, yes, we were in the recent trends showing an increase in traffic. A number of that driven by very specific activities and under a much more benign environment. So going forward, I wouldn't dare to give you a guidance or an expectation if traffic is going to pick up or not, and it will depend a lot, we think, on the speed that reached and some of the factors that have been dragging down the economy in first half, will improve going to the second one. And on the margin, definitely, the performance of the same-store sales for the quarter, for business which, again, like many other, were expecting a much more stronger quarter. The business has its own business plan for the year based on a certain assumption of how the macroeconomic and the consumer confidence was going to be evolving. And of course, we're looking at the different situation. But if you look at the trends of, I would say, both administrative expenses and selling expenses for the quarter, I would say, not only in line with the past trends but slightly below. So the contraction of the market is just a consequence of having lower sales for the quarter than the once we anticipated. We're not talking here about a change in the trend of operating expenses that is producing this. So that would be my comment on margin. And again, looking at the first half of the year, combining first and second to try and to avoid at least a little bit of a noise between the first and the second Holy Week, elections and the likes, gets you to a picture in which margins are pretty much being [indiscernible].
Juan F. Fonseca: To complement what Javier said, I mean, If you look at a 6-month picture, the operating margin is not very different, we're talking about 10 basis points. But if you look at the quarter, the second quarter, the bigger delta really comes from the gross margin, where we have some changes in mix, some high-margin categories that did not grow and in some cases, contracted slightly. So we have been running at a pace where the growth was expanding 50, 60 or more basis points per quarter. And this quarter, it was only 10. So that's really behind contraction much more than behavior in the SG&A.
Lauren Torres - HSBC, Research Division: Okay. So I'd assume for the second half it's similar, where there is no planned increase of spending levels that could cause some large contraction, it's more of the same?
Juan F. Fonseca: I mean you do have the situation where, we talked about telephony in particular. The steep decline in that category really presented itself in the third quarter of last year even though we started really feeling it more first quarter of this year. So I guess, as we lap that, there's an expectation that telephony will be less of a drag. So that's positive. But other than that, it's very uncertain.
Operator: And we'll now take our next question from Alan Alanis with JPMorgan.
Alan Alanis - JP Morgan Chase & Co, Research Division: We've heard a lot of questions about the similar topic idea of margins, but let me ask it differently. The last time we saw a growth in income from operations of OXXO that it was below 10%. I was checking here my model was in the first quarter of 2002, that was already 11 years ago. And we thought this kinds of double-digit operating income growth, even in an environment where we had declining same-store sales in '08 and '09. So I guess the way I'm framing my question is, how much of this deceleration in income from operations or margin contraction has to do with these new initiatives in terms of fast food? And you mentioned that, that was one of the reasons for the increase in administrative expenses. And also, the initiatives that you're starting to do in pharmacies. I mean, how much are -- I know your emphasizing this is not structural, but there are structural changes in OXXO particularly regarding pharmacies and fast food that are taking place. And the last question here, if you can specify will -- or give us a little bit more color regarding when was the last comment you did on your prepared remarks regarding the trend or the current expectations you had for the year had changed or might change?
Javier Gerardo Astaburuaga Sanjinés: On the first one, you have a long memory going back all the way to 2002 to start with. But I think the impact on the margins of some of the initiatives, the 2 you mentioned food and pharmacy, considering the scale at which we are, in the ramp-up of specialized distribution routes and the costs involved in doing that. And as well, the starting of the consolidation of the small pharmacy chain we just bought are somehow putting some pressure, but that's not really, I would say, that's maybe 20% of the explanation of the behavior of the margins for the second quarter. I mean, they really do not change in an structural way, the performance of the business. Here the issue was, and as I said, same-store sales for the quarter were well below our expected performance for the general economy of our business for the second quarter. Looking backwards, we are realizing that we were lapping second quarters from 2010, '11 and '12, which we're very, very, I would say, challenging. Going back to 2009, which was a heavy recession here in Mexico, even in light of declining same-store sales, we were able, in that year, to produce very good financial results because, in a way we were, I would say, modeling and running the business for a year in which we thought things were going to be very, very tough. And we were very, very lucky that in that year, the top up airtime phenomena really started to explode. And we were the early beneficiaries of that trend. So going backwards, you can find a number of reasons that explain performance going -- why the performance of this quarter was different from previous ones. But as I said, we are tweaking some minor projects, which we don't think are the key ones and the priority ones from the second quarter. We are, as always, looking on a very detailed way to areas of efficiency. So in light of a different macro conditions for the year and our results for the first half of the year, which are, as I said, below our expectations, then we're putting ourselves to work in order to, not only wait for better times to come, but also to do our own part on trying to improve our results. And that's what basically my comment tried to mention.
Operator: And we'll now go to Robert Ford with Bank of America Merrill Lynch.
Robert Ford - BofA Merrill Lynch, Research Division: Javier, I had a question with respect to just a general update on fast food. And then more broadly, do you see any opportunities to maybe improve frequency or ticket over the short term in the absence of any pickup in the general economy?
Javier Gerardo Astaburuaga Sanjinés: So fast food both or in general?
Robert Ford - BofA Merrill Lynch, Research Division: Both. So a little update on fast food, if you could, in terms of how big it this, maybe some of the innovations that you have, maybe the outlook for a broader rollout. And I really believe that, that could be successful, it has big implications in terms of frequency and ticket. But maybe something more immediate that you could be working on.
Javier Gerardo Astaburuaga Sanjinés: Yes. Sure. Really to improve the ticket, will imply a little bit, first, a better performance of the mix because as Juan explained, I would say, not the contraction but the lower expansion of gross margins for the quarter has a lot to do with the mix of the products. And we think we can do a number of things with that, including working better with our suppliers and rethinking in light of the economic environment that the way we designed and execute some of the promotions that can be, I would think, more effective than they were in the first half of the year. So there are some things that we can do in terms of, again, being better at managing mix in this very, very challenging environment. In terms of the fast food, we are enthusiastic about some of the things that we have started to see in the places in which we have now have some time with some of the new offerings. Both of the prepared food or the food that is prepared on the food processing center. We just stop [ph] in Northwestern Mexico. But still, to create a, I would say, a relevant critical mass and really to have the ability to deploy that into thousands of stores and we have been very clear on this saying, well, don't think about fast food being deployed in an equal way to the 11,000 stores. This is going to be done much more in a very, very clear-cut, segmented way, depending on the nature of the store, the location and the consumer that goes to that specific store. But I think we are still in the -- and we have said that in the past, this is not like just introducing new products, which is going to be scanned back at the cashier and that's all. This is a logistics issue, this is a freshness issue, this is a finding the sweet spot in terms of the flavor, the price and nature of the offerings that we're putting in front of the consumers. And we're basically testing a number of things as we speak and work all the way from tortas, tamales, tacos, sandwiches and a number of fresh products offerings as well. So I think, again, these category particularly needs to deal in a head of the development of the category, a number of capabilities and infrastructure. And as I said that's, again, a new thing in the P&L of FEMSA Comercio. But again, since we are not really deploying this on a large scale, it's not really making a difference today in the P&L in a substantive way. But when we start to deploy those, it might in the future. And it will -- I mean, we will see how much if we have a positive or a negative depending on the curve of development of how successful we are on increasing same-store sales on the fast food category itself, right. On an overall ability to increase ticket size, you've mentioned mix. But to tell you the truth, if the environment doesn't get better for the second half of the year, we might have some successes in, again, presenting better performance. But it has a lot to do, as I said that, it has a lot to do -- I don't see any, I would say, lost ground on the competitive advantages, we think, also possesses against a number of other alternatives for consumers. I don't see anything of that taking place. So we tend to see a lot of what's going on all around the country with the Mexican economy as a principal driver of what's been going on. So we're very, very optimistic about the medium term of the business as we have been always.
Operator: And we will now go to Antonia Gonzales with Credit Suisse.
Antonio Gonzalez - Crédit Suisse AG, Research Division: I wanted to make first a follow-up on the comment that you've made so far on same-store sales being the main driver for the margin contraction this quarter. In light of that being the case, would you be able to share with us what's your expectation for same-store sales on a full year basis for this year? And I think that in the past you've mentioned that a mid-single digit kind of growth rate for same-store sales is reasonable. I was just wondering whether you can give an updated expectation in particular for 2013? And then, secondly, I wanted to ask if, I think you mentioned, Juan, that there's some categories in addition to mobile phone minutes that have been weak, in particular during this quarter. I wonder whether you can give us some more color on that. And then third and finally, I just wanted to ask, we've heard from some other retailers, more food retailers rather than community stores, this earnings season that they're seeing some particular weakness among low-income customers. So I was just wondering whether that is the case for you as well and whether you think in areas in which you're targeting lower-income customers you're seeing overall weaker results than in hiring from neighborhoods?
Javier Gerardo Astaburuaga Sanjinés: Sure, Antonio. I'll go to question 1 and 3, and then I'll ask Juan to go for the second one. Regretfully, we again, do not have enough visibility to really give high -- a guidance or a clear guidance or a reasonable one for second half of the year. Long term, mid-single digit still makes sense for us as it has been in the past. But for the second half, we are cautiously optimistic. We are not expecting to fix -- to things improve just on themselves. So we're doing some internal work, we're expecting a better environment but we're preparing the brand for the second half of the year, assuming that softness might not be as high as it was in the first half, but we're not going to look also at a very, very strong quarter. So we have a lot of work to do and regretfully, I cannot really provide you with a reasonable, confident expectation for same-store sales for the second half. In terms of the food retailer comment you just made, yes we have seen that and we have some differences among the stores, depending on social economic level that it shall serve and we tend to believe that, that is being hurt much more for the construction basically weakness that's achieved today in the Mexican market as well as from the low remittances but most importantly, the first phenomena. But, yes, we have seen some softness in the lower social economic level of consumers that goes to our stores.
Juan F. Fonseca: On just -- before I get in to the category of discussion, I mean, just to complement the first point that Javier made in terms of same store sales expectation. I mean, as you see, we ended the quarter with a first half number just below 3%. So just the math, it's really -- you would need an extraordinary second half to kind of bring us to where we would like to be and there's no reason why the second half should be extraordinary. So I think that's kind of what we're trying to say. On the categories, what we're seeing is some of the categories that you could say are more discretionary in nature as opposed in our portfolio, things like energy drinks, things like candy, for example, things that are impulse-driven or that the consumer can afford not to buy as much of, I think we're seeing those kind of leading that group, which are high margin.
Antonio Gonzalez - Crédit Suisse AG, Research Division: Those as being the weakest, Juan?
Juan F. Fonseca: Those are the ones that I would put on top of the list next to telephony as one that -- for contraction which are because of the margin contribution, they hit hard [indiscernible] not huge in numbers, for example, energy drinks are not huge but OXXO's sells a lot of energy drinks and they are very profitable.
Operator: And we will now go to Karla Miranda with GBM.
Karla Miranda: Javier, I have a specific question regarding the pharmacies. I want to understand how do we see the impact of pharmacies going forward in OXXO's results or where are you consolidating these acquisitions? And where should we see the impact of the inclusion of the numbers of the pharmacies you're opening? Is there an impact in this quarter or the openings that you were stating are actually openings of OXXO only?
Javier Gerardo Astaburuaga Sanjinés: The numbers of the openings we just mentioned are only convenience stores, so that does not include pharmacies. The consolidation for the first time just for one month for the 2 chains we just bought, which were basically transactions who were closed on the same month of May are pretty negligible for the quarter and won't be that important also going forward for the company because of the difference of size of the existing business as opposed to the size of the transactions that these 2 companies represent. So those will be my comments, Karla.
Operator: And we will now go to Luca Cipiccia with Goldman Sachs.
Luca Cipiccia - Goldman Sachs Group Inc., Research Division: I was hoping you could expand a bit more on the average ticket performance, especially compared to the first quarter. You mentioned some categories that had deteriorated but just really, to isolate the different impacts, how much the Easter week may have contributed to that. And if so, if we were to break down same-store sales and ticket versus traffic on a monthly basis, how much of a difference that would make. Maybe you could comment as well on how things are tracking so far in July, that would be great. And then if I may follow-up as well on the pharmacies, just to understand where you stand with the strategy for that business, how close are we to develop maybe a single format? What should we think of, if I look at the 2 different acquisitions that you made, they're quite different ones from the others, so how long before we will have a single strategy? Do you need to get more critical mass and should we look for more acquisitions until the end of the year? Maybe if you can expand a little bit on that strategic driver as well.
Juan F. Fonseca: Luca, this is Juan. On the first part of your question, in terms of the impact of Holy Week, I mean, we don't really break out traffic and ticket numbers on a per month basis. I mean, obviously, we don't break out per month information at all. But I can tell you this time around, the April numbers were pretty nasty, which is, again, it's to be expected. I think within retail formats, holidays and Semana Santa, in particular, are more important in relative terms, I think, for OXXO than perhaps, for some other retailers because consumption of many of the things that we sell correlate well with leisure and travel by road and things like that. So in April, the number, the contraction in same-store sales was significant and was in the order of mid-single digits, just to give you an idea. So I think that makes all the difference and that's why we have been talking about the way to normalize the numbers is to look at the full semester. And when you do that, things actually look a lot closer to what you would imagine, considering everything that we've discussed in terms of the macro.
Luca Cipiccia - Goldman Sachs Group Inc., Research Division: If we look at July for instance, so far, is it more in line with what we have on aggregate for the first half? And secondly, my understanding was that somehow indirectly, the drop in the telephony business was improving the average ticket as a secondary impact, is that the wrong interpretation?
Javier Gerardo Astaburuaga Sanjinés: Actually there's a drop in telephony. I mean, telephony is a category that because we booked only the margin, it's really -- it's 100% margin but it's not a big number, right? So in that sense, in terms of revenues, it doesn't move the needle as much but margin-wise, it certainly does. And that's why it affects traffic a lot because people -- this is a category where the shopper, the consumer doesn't buy a lot of other things. Generally, we charge their minutes and they're out the door. So I guess if you're going to lose a category, this is the one you want to lose in that sense, but it's all margin, right? It's 100% margin, so its impact is strong on the profitability. Now in terms of the July numbers actually, I wouldn't want to comment yet. I mean, we're halfway through the month and it would be -- I don't want to really create expectations in either direction based on incomplete data.
Juan F. Fonseca: On the second part of the question, Luca, as I just said, we just closed these transactions a couple of months ago. We are in the early stages of integration and to put in place the work that has done in terms of identifying the low-hanging fruit opportunities in terms of sharing things like purchase power and logistics and exchange of talent, things like that. For also, we have started to develop our own ideas and we're preparing ourselves to start tweaking the value proposition and the format to both change to start to test our own hypothesis of how these value propositions can be improved. We have said that the strategy for developing the business in Mexico is pretty much based on a combination of acquiring strong regional chains plus improving value propositions/format and scaling the size of the chain on a fast pace. But as also, we have said that if at the proper time, the proper opportunity for bigger things in Mexico present themselves, that we would be very interested participants of processes of M&A activities in Mexico as well. So that's pretty much -- we are at the very, very early stages and we think we have our hands full in terms of really trying to make a difference of the businesses that we just acquired.
Luca Cipiccia - Goldman Sachs Group Inc., Research Division: Neither of the 2 chains are actually, I would assume, are currently opening new stores, right?
Javier Gerardo Astaburuaga Sanjinés: They are. They have their own business plans. Originally, they had their own business plans for the year. We have reviewed those and changed those to, again, the environment that Joe has described. So both chains are continually opening the stores.
Operator: And we will now go to Lore Serra with Morgan Stanley.
Lore Serra - Morgan Stanley, Research Division: I just have a couple of quick follow-ups. I guess the first one, I understand you don't want to break the monthly numbers but I'm just still not understanding why the ticket was up 6% in the first quarter and then it was up 1% in the second quarter. So if you could just give us a sense of what's driving that change in ticket. I guess I wouldn't think that the Easter shift should be responsible for that kind of a move. And then can you remind us what is causing the higher amortization at OXXO? That would be really helpful.
Javier Gerardo Astaburuaga Sanjinés: I don't have any idea on the second one. So I'll let Juan struggle with that if he can. On the first one, Lore, you have kind of an impact because of the Holy week going into March. The tickets for that particular season are higher because of, again, products that people are buying when they are on vacation and the like. So that's part of the explanation but it doesn't really explain the full difference of the phenomena from the first to the second. I would say that the combination of what I just said, combined with, again, lower social economic consumers being more heavily impacted and a decline of some of those categories, which increased ticket and have mentioned -- Juan just mentioned, for example, one which is candies and crackers is another one, which is struggling I think, a little bit. So it's just a combination again, of how consumers are now reacting to a softer economic environment and the impact of the Holy week. I would say that's what exaggerates the difference between tickets for the first quarter against the second.
Lore Serra - Morgan Stanley, Research Division: I guess maybe I'm going to sound like Alan, but when you go back to other Easter shifts, is this anything similar to what you've seen before, this kind of behavior?
Javier Gerardo Astaburuaga Sanjinés: I really haven't looked at the numbers but we'll share with you some of our thoughts on outside.
Lore Serra - Morgan Stanley, Research Division: We've never seen this?
Javier Gerardo Astaburuaga Sanjinés: I understood. We've never seen same store sales on the right not so drastic economic environment as what we have in 2009. We've had this weight this quarter, indeed. So that's a little bit why. Again, it's very hard to read under so many variables impacting comparisons on the quarter. It's very hard to read and more even hard to draw conclusions from it. We look at the full semester as I said, then you might say that we're slightly off but under very, very different macroeconomic conditions as the ones we were all expecting.
Javier Gerardo Astaburuaga Sanjinés: Yes. I mean, the reference you made in the note you published a little bit earlier in terms of difference, right? I mean, there's certainly some differences that we need to get into. But the numbers themselves are not that different. On the amortization question, the number itself is not huge obviously. Percentage-wise, it's big but dollar-wise or peso-wise, it's not. There were certainly some permits that were acquired that are beginning to be amortized but I think we can kind of dig into the number a little bit deeper and discuss it later offline, if that's okay.
Operator: And we will now go to Alex Robarts with Citi.
Alexander Robarts - Citigroup Inc, Research Division: I just kind of need to go back to this sharp falloff in the same-store sales here we are seeing in OXXO. I mean, perhaps the other way I'd like to think about it is kind of one question with 2 parts. As you take a look at -- you mentioned earlier, the business plans are being adjusted, right, for this new environment. When you think about it vis-a-vis OXXO, is it really kind of a portfolio shift type of change or adjustment that you guys are contemplating or is there a component there which really has to do with trying to cut cost or just kind of tackle the logistical expenses? If you could -- and you said that the timing and pace of improvement is hard to see in the second half and we also feel that as well, but the point is it would be great if you could give us a sense of the nature of how you're thinking about adjusting your business plan here going forward with OXXO. And the second part of the question is that the concept has been, as I've seen it at OXXO, having good prices in staples. But in the impulse categories, that's where you can get the margin. And vis-à-vis, the big box retailers, that's kind of been a very interesting model. Do you think that now in this environment, that the value-seeking shoppers may turn for the larger discounts at the big-box retailers? Have you seen how you might be priced against their staples with their impulse categories? Any color relative to that idea would also be helpful.
Javier Gerardo Astaburuaga Sanjinés: I would take the first one. I'll ask Juan to comment on the second one. On the first one, let me just provide -- I mean, the general comment I made was -- and let me put a couple of examples maybe, to illustrate what I was trying to say. So for example, under these conditions, the way we allocate the marketing expense and investments on the -- behind the commercial activity of the chain have -- we might need to be tweaked a little bit, let's say, spending less on, let's say, efforts which are more directed towards building brands image and brand equity and a more generic kind of attributes of the OXXO offering as opposed to much more resources put into promotions and adjustments to our calendar for promotional activity in order again to bring more consumers into the store. And of course, directed to those categories, which under existing conditions and looking at the performance, we feel we can make a difference if we put some money behind those kinds of activities. And that kind of, let's say, tweaking on the 2013 plan will be complemented by again, looking at the pace at which we're working on certain projects which are not as critical as some others, which we won't touch at all. But we think that we have, again -- and this is hard times are always good times for people to think about where you can be more efficient than you have been. So those are 2, I would say, hopefully, good examples of the things that we think we have some room to maneuver. You asked the question saying that we're doing some structural thinking in terms of, I don't know, assortment, price architecture, the way we merchandise, not a chance. Again, we don't think we're facing here a structural issue. So all we have to do, I think, is work with the levers we have at our disposals to improve performance on the second half within a very, very challenging environment.
Juan F. Fonseca: I think on the second question, Alex, in terms of do we think the customer that is kind of a more of a value-seeking customer, if he perhaps migrate to a different format, we don't think that's the case. I mean, as you know, we've been discussing for a while, the price gaps that OXXO maintains versus other formats have compressed over time, especially when you think about certain categories, what we call daily and the replenishment occasions. So you really have a discussion that has more to do perhaps with packaging. So the consumer that really wants to save money who is willing to buy the 2-liter bottle of detergent as opposed to the 600-milliliter or for that matter, the 3 or 2.5-liter bottle of Coke as opposed to the 600-milliliter personal presentation. He's already going to the big-box to satisfy those needs. So the assortment that we have, the temperatures at which the beverage is at our store, and as I said the price points, I think, provide pretty little incentive, I think, to go elsewhere, especially when you're going to have the inconvenience of transportation and storage and other things that we discussed. So when you talk to those terms [ph], obviously, these situations -- and I'm not saying that's necessarily the case in Mexico right now but when you have a consumer that is becoming extra careful, these are the times when you see shifts towards more returnables for example, things like that but we don't think we're seeing a situation where we're losing consumers to bigger boxes, quite frankly.
Operator: And we will now go to Margaret Kalvar with Harding Loevner Asset Management.
Margaret E. Kalvar - Harding Loevner LP: A couple of questions. A little bit is going back over a little bit on the fresh food issue but I'm curious to know over the medium term, it's obviously going to require significant investment. What do you think the margin potential is here relative to the average margin at OXXO? And then the other question is you mentioned that regarding telephony that as well as the decline in the price per minute, there may be other places or sources of people being able to top up. Are there any other of your more service-related and highly margin-accretive products in the mix where you're also seeing a potential from other channels being available for consumers to perform the same function?
Javier Gerardo Astaburuaga Sanjinés: On the first one, there's a category which is, by nature, better gross margins you can achieve but you have to also incur incremental expenses as well as merma [ph] shrinkage as well as shrinkage is an issue to deal with. So profitability has a lot to do with scale and the ability to manage your logistic costs and your shrinkage in a good way. But all in all, I wouldn't say that we are aiming at a category that bottom line, has a significant different margin, all things considered. The higher gross margin but then net margin not being that different. It should be higher but not significantly higher as a general comment. And the second one, yes, I would say that for example, the services that now you are looking at same as top-ups being increasingly offered by other retailers, is payment of services. These are, I would say, the one that you can see more broadly now expanding in Mexico. And the challenge for us is pretty much to be ahead of the curve knowing that some of those services are going to be more universally offered by other retailers, it's bringing new things into the stores. So these banking services effort this year are going to be important also for us because we should be finishing the year mainly, basically, with all banks, maybe 1 or 2 left out of our offering services, and that is a clear differentiation among any other retailer in Mexico of this nature. And of course, all the transportation systems, electronic cars that we have also been making good progress in some metropolitan cities is also a differentiator that still plays in favor of OXXO. So there are some, in summary, new offerings of some other retailers of new services but the challenge of OXXO is to really keep ahead of that, bringing new services to the store.
Juan F. Fonseca: I would just add to that, Margaret, this is Juan, that there really is I think, a difference. I mean, when you're talking about telephony and you're talking about, certainly, the leader in that industry but perhaps, all the players. I mean, there has been a very clear push, we think, to make more and more available, the ability to recharge phones. And so from a technology standpoint, they have made a lot of strides to kind of pulverize the points-of-sale for this particular category. That is really not the case for many others. You also have situations where the time that it takes you -- I mean, certainly, you can pay your bills in the supermarkets, you've been able to do that for a long time but the cost benefit of going into a bigger box just to pay some bills is not there, and I would say probably for top-ups either, right? So you're really talking about someone on top that have been enabled to recharge cell phones and some other kind of mobile devices or even the ATMs, some things like that, are obviously in the picture where you're able to recharge your phone in a lot of different places. But I don't know that this is really happening at any level similar to that in some other services. And I think to Javier's point, I mean, there are I think, higher barriers to entry in a way when you talk about the financial services because of the whole certification process and training and what goes hand-in-hand with actually working with the banks and the national commission or the banking and the kind of the Mexican SEC, which is going to be a very, very long time I think, before other retail formats -- I mean, talking about kind of the mom and pop formats and participate there, right?
Operator: And we will now go to Juan Lopez with BTT Actual[ph].
Unknown Analyst: My first question, if you can give us some color on how have you outperformed in terms of traffic in OXXO, if you are seeing some significant shifts in the ticket mix. And then I will move to a more strategic one. Where would we see the whole business in the next 3 to 5 years in terms of how relevant would the Comercio division has to be and the beverage division, where the CapEx allocation should be a more headed to? Is it beverage, is it in commerce? What are you seeing in the next 3 to 5 years? And the last one would be, how much room is it left for the OXXO sales for expansion? Which rate of expansion you feel comfortable with, given that the CapEx core story seems to be growing much more at a much more higher rate than the pace of expansion of your same-store sales obviously, and the operating cash flows?
Juan F. Fonseca: Let me take a crack there because there's a lot of things in your question. So if I miss anything, we can circle back. I mean, let me start with actually, your second component, which is you say kind of the -- sounds like Comercio down the road in terms of capital allocation between beverages and retail or where do we see kind of the composition in the future. I mean, the 2 businesses, obviously, are managed for their own value creation and with their own sources of capital. I mean, we don't have to choose. Where we have a marginal dollar, we don't have to decide whether it goes to Coke Femsa or to Comercio. We have different shareholder basis and both businesses grow at what their independent managements consider to be the right pace. So yes, we've seen historically at least, the last decade, OXXO's organic growth being very fast, faster than that of Coke FEMSA. But on the other hand, Coke FEMSA has been much more active on the acquisition front. So once you factor in the consolidation of the bottling system in the region I mean, they've done, as you know, a large number of transactions in the last 2 years. So you see the 2 companies kind of growing at the end of the day, not that different rates even if the composition of that growth is different. So I think you can expect similar paths down the road. Where you ask about CapEx per store in OXXO, actually, if you look at CapEx per store versus EBITDA per store, EBITDA per store has been growing significantly faster. So there's been a gap, a positive gap that has been opening between the ability to generate EBITDA per store compared to CapEx. I mean CapEx is pretty constant at OXXO. It's somewhere between 5% and 6% of revenues. So we like that dynamic, obviously, and we expect that to continue. I mean, the current dynamic with same store sales, we discussed it, I think, pretty deeply in this call. If indeed, we are correct that this is not a structural situation and we can go to a slightly higher number than what we're seeing, I would expect the dynamics to continue to be similar to what they've been in the past. With all the caveats that we've mentioned in terms of investing in prepared food and going into drug store, which have a different profitability picture and all of that. But the medium and long-term expectations are really unchanged. The first part of your question, I'm not completely sure about what you were trying to find out. It has to do with traffic but could you repeat the question?
Unknown Executive: If you have seen a significant pickup in traffic or a shift in the ticket mix?
Javier Gerardo Astaburuaga Sanjinés: Traffic in the -- well, I mean, traffic and ticket, the mix, the last many quarters up until the beginning of this year, we have seen a pretty balanced contribution to same-store sales coming from traffic and ticket. The dynamics that we are seeing this year as we've discussed, have a lot to do with the telephony category, which is a big traffic driver. Everything about the macro, we've already discussed. So for the rest of this year, as we said a few minutes ago, we do expect to lap the point in the year where telephony began to be a bigger drag towards the third and fourth quarter. So that's a positive. But to Javier's earlier point, there's not a lot of visibility about the macro improving fast enough that we can have a significantly better second half. So I would expect, I mean, again, we don't want to put a number out there. We do expect a better set of numbers than what we've had for the first half but the magnitude of the delta is hard to say.
Operator: Ladies and gentlemen, that is all the time we have for questions today. I will now turn the conference back over to Mr. Astaburuaga for additional remarks.
Javier Gerardo Astaburuaga Sanjinés: Thank you. Thank you very much for your participation today. Goodbye and see you next quarter. Bye.
Operator: Ladies and gentlemen, if you wish to replay the webcast for this call, you may do so at Femsa's Investor Relations website. This concludes our conference for today. Thank you for your participation, and have a nice day. All parties may now disconnect.